Operator: Greetings and welcome to Huntsman's Third Quarter 2025 Earnings Conference Call. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Ivan Marcuse, Vice President of Investor Relations and Corporate Development. Thank you. You may begin.
Ivan Marcuse: Thank you, Donna. Good morning, everyone. Welcome to Huntsman's Third Quarter 2025 Earnings Call. Joining us on the call today are Peter Huntsman, Chairman, CEO and President; and Phil Lister, Executive Vice President and CFO. Yesterday, November 6, 2025, we released our earnings for the third quarter 2025 via press release and posted it to our website, huntsman.com. We also posted a set of slides and detailed commentary discussing the third quarter 2025 on our website. Peter Huntsman will provide some opening comments shortly and we will then move into the question-and-answer session for the remainder of the call. During this call, let me remind you that we may make statements about our projections or expectations for the future. All such statements are future-looking statements and while they reflect our current expectations, they involve risks and uncertainties and are not guarantees of future performance. You should review our filings with the SEC for more information regarding the factors -- the risk factors that could cause actual results to differ materially from the projections or expectations. We do not plan on publicly updating or revising any forward-looking statements during the quarter. We will also refer to non-GAAP financial measures such as adjusted EBITDA, adjusted net income or loss and free cash flow. You can find reconciliations for the most directly comparable GAAP financial measures in our earnings release, which has been posted to our website. I'll now turn the call over to Peter Huntsman.
Peter Huntsman: Ivan, thank you very much and thank you for all of those taking the time to join us this morning. Before getting to our Q&A, I'd like to take a few minutes and speak about present market conditions. First of these is the change in our dividend distribution. Every quarter, our Board of Directors deliberates and spends considerable time discussing this matter. We take into consideration a number of factors in determining what should be paid and what should be preserved. Our industry faces 3 challenges that in their duration and magnitude are unprecedented. First, we see the U.S. economy, the effects of several years of decades high inflation and the rising of interest and mortgage rates. This has put enormous pressure on consumer durables and homebuilding. In particular, fewer and smaller homes are being built and consumers are spending less money on large durable items. The second is the lack of consumer confidence and spending in China. While at the same time, the country has built out their manufacturing capacity that is not being absorbed domestically and in many cases, are flooding markets that struggle to absorb their own domestic production and increased imports. The third of these challenges is the deindustrialization of Europe. Between burdensome bureaucracies and regulations, high business and climate-related taxes and uncompetitive energy and raw material costs, Europe is not attracting innovation, growth or investment. In fact, in the second half of 2025, we're likely to see more industrial closures than we have seen in the first half. We believe that the U.S. and China economies will recover to more stable conditions as trade tensions ease, interest rates drop and consumer confidence and spendings returns. Europe will see more of its manufacturing leave unless they change a number of policies very quickly. As industry shuts, it will be relocated to the U.S., Asia or the Middle East. As these capacities relocate, we will see these markets stabilize as the remaining European companies adjust to new supply chains and perhaps a more consolidated industry. Aside from simply waiting for better times, what will Huntsman continue to do? We will continue to calibrate our cost structure to be -- to the market realities that we're seeing. We are on track to completing our previously announced $100 million cost reduction program. This includes the elimination or relocation of over 600 positions and the closure of 7 sites, mostly in Europe. These efforts will continue through 2026 and we are well on track to meet and likely exceed these targeted savings of $100 million. In addition to cost and asset footprint, our priority has been to manage our cash consistent with a prolonged downturn. We delivered $200 million of operating cash this quarter and our year-to-date free cash flow is over $100 million. We moved early and aggressively on working capital this year and I believe we made the right call to do so. We're also looking at more energy-intensive raw materials and exploring ways wherein we can source these supplies from other regions with more competitive costs. Europe will continue to be a vital market for our company. Areas such as aerospace, automotive, adhesives and electronics will not only be profitable but growing markets for Huntsman. However, we need to continue to look at our supply chains and source the most profitable raw materials. An example of this is our recent closure of our maleic facility in Moers, Germany. We will continue to support our maleic customers in Europe but we will do so from the U.S. where we can make maleic cheaper and deliver it at higher margins. We'll continue to look at our urethanes, amines and epoxy supply chains and assess how we can avoid Europe's uncompetitive cost structure. These include working within our own company as well as working with other industry players. We will continue to work with other manufacturers to maximize our capacities and competitiveness on the products we produce and supply globally. This includes exploring opportunities for consolidations, rationalizing capacities and other value-enhancing combinations. I believe that our actions will create further value. Not all of them will happen but we will continue to explore every chance we have. We also need to make sure that we protect our balance sheet for the long term. Our latest dividend levels were set when market conditions were far different than they are today. Our priority was to return cash and value to shareholders. This priority has not changed. It has taken -- but it has taken into consideration current market conditions. These are not times when we ought to be taking on more debt to pay a higher dividend. After careful deliberation, we believe that we have found the right balance to reward our shareholders, preserve our balance sheet and invest in the future. As soon as market conditions warrant, consideration for an increase in our dividend payments will take place. Believe me, we'll be doing this as quickly as possible and I hope this happens sooner rather than later. Lastly, as we look into the fourth quarter, it is simply too early to make forecasts for 2026. Most supply chains are very tight and visibility is short term as it usually is this time of year. I believe in the fourth quarter that we will see typical seasonality, coupled with a higher-than-average destocking. Earlier this year, some companies bought into the idea that Europe was somehow rebounding and demand was picking up. This has clearly not been the case. We may see conditions in the fourth quarter, especially in Europe, where prices drop as companies cut -- push to cut inventories and manage working capital. During the fourth quarter, we will continue to prioritize cash over EBITDA, especially in our Performance Products division. Our objective is to finish this year with inventories that allow us to produce to meet demand. As we end the third consecutive year of challenging markets in all 3 regions of Asia, North America and Europe, I believe that we're taking the tough steps today to assure our future is one where we are able to recover quickly as market conditions allow us to do so. We will continue to explore every means and structure possible aside from simply waiting and doing nothing. With that, operator, we'll open the line up for questions.
Operator: [Operator Instructions] Today's first question is coming from Mike Harrison of Seaport Research Partners.
Michael Harrison: Just wanted to ask about the cash flow and the inventory reduction actions that you took during Q3. It sounds like your expectation is there's still some further inventory reduction that will happen in Q4 as you continue to focus on cash generation. My question is, though, what do these inventory reduction actions mean for your utilization rates, particularly in Q3, where you're running a little bit slower? And will that continue into Q4? I guess my question is, are you running slower now so that you can run harder potentially in the first and second quarter of next year?
Peter Huntsman: We look at that on a -- literally on a product-by-product and division-by-division basis. So if you think where we'll be in the first quarter, we're typically starting to build inventories as you go into the second quarter, which is typically the beginning of your construction, housing seasons. Obviously, that's weather related and it's also demand related as people are looking to relocate into the summer months. And so you see a lot of buying activity pick up at the time. So typically, across the entire company, you will see inventories rise during that first quarter going into the second quarter in preparation of demand. Now if the demand doesn't necessarily build and I think 2025 was a good example of that, we really saw a very muted construction market, particularly in North America versus expectations. And you then see that partway through the second quarter, you've got too much inventory. Some of our products such as your MDI materials, not -- this doesn't apply to every single grade of product we produce but to the more commoditized materials in MDI polymeric and so forth, you can typically reduce that inventory by selling it into other markets, into other applications, even into export markets and so forth. I'm not going to say that's easy and I'm not going to say you can do that fairly quickly but you typically can take care of your inventories through proper management usually within 1 quarter or 2. Other products like your Performance Products, where you're producing amines that are going into catalysts, you're producing maleic anhydride that goes into unsaturated polyester resin, you've built up your inventory early in the year. And sometimes it will take you longer to reduce those inventories, fewer customers, fewer outlets and so forth to get rid of that inventory. And so you typically -- that will happen through the third and in our case with Performance Products through the fourth quarter. Now you've got a decision to make, you asked a very good question that do you reduce your production rates, thereby lowering your inventory so that you can meet production demand as you get into early 2026. I believe that we have an opportunity to see a modest recovery starting in 2026 but I'm not willing to bet our inventories on it. So let's go into 2026 with our inventories, I would say, lower than average, where we can calibrate our production to the actual demand as we see the demand. I think probably by and large, I can't speak for our competitors but probably as an industry after 2025 and the muted market -- the muted recovery that we saw in early 2025, the beginning of the construction season, I think that people will probably be cautious going into 2026. And therefore, I think that's why you're seeing a lot of companies right now focus on the working capital, focus on inventory reduction and perhaps putting their free cash flow and cash generation ahead of EBITDA. In the case of our MDI business, I believe our inventory levels, while not perfect, I believe that they are in the area where we want them. Performance Products, I believe they'll be there by the end of the year. And barring any huge change in demand one way or the other -- and so yes, in the fourth quarter, I think that as we look at Performance Products, in particular, I'm not very encouraged when I look at the EBITDA outlook for the fourth quarter but I do look at it as somewhat of a one-off because we are going to sacrifice some EBITDA to get rid of what I think is the last of that inventory. Sorry, that was a very long-winded answer but a very good question.
Operator: Our next question is coming from Patrick Cunningham of Citibank.
Patrick Cunningham: Peter, in your opening remarks and over the past couple of years, you talked about the continued collapse of European manufacturing and you've already been quite proactive here with positioning your own footprint. I guess my question is, is there a risk that enough capacity leaves that it no longer becomes attractive for suppliers to support some of these industrial clusters, if there's enough links in the chain broken and perhaps maybe down the road, you need to evaluate your Rotterdam asset as well. So maybe just directionally comment on how you're thinking about the asset footprint for Huntsman specifically and that sort of tail risk to the industry or what's left of it?
Peter Huntsman: Yes. And Patrick, what I don't want to do right now is try to predict too much of the future but it is something that we keep a very close eye on. We feel very confident that our first-tier suppliers that are giving us chlorine, giving us CO2, giving us our raw materials and so forth in Rotterdam, in particular, our ability to import in benzene and so forth, we feel that, that is a very good position by what we see today. Now do I have inside information on what's going on? I don't. But we communicate with those first-line customers. You do bring up a very good point, though. What happens if a supplier of a supplier of a supplier, you can take that back 2 or 3 steps and you start looking at the refining infrastructure or you start looking at the pipeline infrastructure, is enough product going in to run the pipeline system. That may be something that is not only out of our control but out of the control of our suppliers and so forth. I don't foresee that happening in the near term. Is it something that could happen 2 or 3 years down the road? I'd be surprised to see it get that bad where you start seeing a collapse of these clusters. I genuinely think that it'd be such an economic calamity that the government would probably step in on some of these things. But I'm just surmising. I try to get into the head of European bureaucrats, not only very nebulous but dangerous. So won't try to do that but I feel that at least for the foreseeable future for us for the coming years and so forth, Rotterdam is going to continue to be a low-cost European site. It's our -- feeds into our second largest MDI market. And I think that we have some work there to get that site more competitive on a global basis. We continue to work with our suppliers, with our partners, with our customers and looking at anything and everything that we can do on that site. But yes, I -- that's -- you bring up a very good point. It's something that we are in continuous discussions with our suppliers.
Operator: The next question is coming from John Roberts of Mizuho Securities.
John Ezekiel Roberts: Do you think the increased U.S. MDI imports from Europe is a structural change and that's here to stay?
Peter Huntsman: I hope not. I can't imagine that it makes any economic sense but I'm just speaking of looking at our economics and is that a good deployment of capital. But John, you bring up a very good point. As we look at the U.S. market of around 1,200 kilotons, you've got roughly 75,000 kilotons coming in from Europe. You've got roughly another 150,000 kilotons that will be coming on this next year. And I would remind you that it's usually not when the kilotons come into the market when you feel the impact of it, it's usually the year before, right? When people are out premarketing, preselling, pre -- cutting the market to try to find a place for all of that inventory as it comes in. And you still have a lot of Asian material that's going to Canada and Latin America that is displacing U.S. exports from the United States producers that are typically exporting to Canada in those markets as well. So I think that it's -- there's going to be moments of opportunism where people maybe have too much inventory, can't move it in Europe and so forth. But fundamentally, the economics of moving from a higher cost region, paying tariffs, taxes, transportation, logistics, working capital tie-ups and so forth into another market. I'm not sure that's a good long-term decision but that's not my decision to make. What is for Huntsman. We don't do that.
John Ezekiel Roberts: The Chinese gasoline market is now declining. So is your MTBE JV production in China having to be exported? Or how do you see that as the Chinese gasoline demand continues to decline?
Peter Huntsman: So that MTBE is both an export and a domestic market. That's a very competitive site. It's a world-scale site and it's one that we're going to take advantage of both domestic and export opportunities and wherever the best opportunity is, that's where we'll be.
Operator: The next question is coming from Aleksey Yefremov of KeyBanc Capital Markets.
Aleksey Yefremov: Peter, can you just maybe overall describe the U.S. MDI market? You just made some comments but what about demand side, overall U.S. MDI inventories and how customers are sort of reacting to the tariffs and change in that imports picture? Are your conversations with customers changing at all?
Peter Huntsman: No, not a great deal. I think that there may have been a lot of hyperbole and so forth that went into the tariffs that you somehow were going to foresee or see these great changes and so forth. But like I said, the U.S. is a 1,200-ton market. And if you look at the amount of tonnage that is being added on in the next 12 months, kind of 150,000 KTS from 1 producer, predominantly another European producer bringing this last year about 75,000 metric tons. You look at the amount of product that was exported to Latin America and Canada that now is kind of set back into the U.S. And you can kind of see where you kind of take last year's fourth quarter, this year's first quarter was something like 100 kilotons that came in from China. And you more than offset that, right, with new additions and imports coming in from Europe. So I'm not sure that there's really a big net change in production. I'm not going to say that it has no impact. I'm sure it does on those particularly having to pay [ 513% ] antidumping tariffs. But it's -- for us, we've seen this last year year-over-year about a 6% growth in MDI. That's something that we gradually over the last 12 months have gotten back -- largely gotten back market share that, frankly, we lost and we probably took too aggressive of a price stand and trying to keep prices stable or even rising in a market that sorely needs it. So I -- for us, it continues to be a sluggish market. And I think overall, there'll be pockets of it, of growth within MDI U.S. But until housing fundamentally, until housing recovers, I don't think you're going to see the sort of demand that we've seen historically.
Aleksey Yefremov: And as a follow-up, you talk about automotive wins in Advanced Materials and also some progress on the power side, aerospace. Do you think AM could qualitatively be decently stronger next year?
Peter Huntsman: Well, I'd -- well, on the -- you brought up 3 very good markets here. On the electronics side, I'd remind you, that's about 40% of our earnings. And that's probably the most boring unknown segment in our business. I say boring because it's just 1 year ago or in 2018, the business made up about 20%. Today, it's 40%. So the business for us has doubled over the last 7 years. And so that's -- we've seen phenomenal growth at a time when a lot of businesses have been flat to down during that time period. And I think that over the course of the next decade, electronics and power is going to continue to grow. So that's a very important end of our business. And I'm not sure that if the economy turns around and picks up, that we're going to see big growth in that area as we would in automotive or aerospace. And -- sorry but all 3 of these are kind of different. Aerospace will not be about consumer spending or consumer demand. Aerospace will be largely around Airbus and Boeing's ability to build more planes and to deliver that which they have built. So you look at all the publicity recently on the 777X, a platform that has Huntsman material in it. I had the opportunity to visit the Boeing site, what was it, 3 years ago? And you've got -- you had XXX (sic) [ 777 ] jets 3 years ago that were sitting there waiting for delivery. Now the FAA says those planes probably won't be delivered until 2027. So planes have been built and sitting there for 5 years. And so it's not just a question of planes being built. It's a question of planes being built and delivered. 2 completely different things. So if the aerospace industry can increase build rate and delivery, that will be great. Electronics, that's largely going to be around the ability for infrastructure to be built, infrastructure to be modernized, as you start bringing in more renewables, more wind, solar and so forth, that's going to be power. On the automotive side, that's going to be more consumer-driven. But still, we're seeing there that the automobile producers are rewarding lightweight, that's energy conservation, both for EVs and ICE. And they're also rewarding innovation and new chemistries. And that's a lot of battery materials and potting materials and so forth, strength materials that are going into the EV. So Advanced Materials, in all 3 of those sectors, as you see the build rates improve in aerospace, you see the continuation of the build-out on the power grid, you see consumers demand continue to improve, hopefully, in the automobile area, you ought to see all of those things -- yes, some will be consumer-driven, others will be infrastructure driven and others will just be the ability for manufacturing to get it right.
Operator: The next question is coming from Vincent Andrews of Morgan Stanley.
Vincent Andrews: Peter, it sounds like in the EU, you're already hearing from customers that they're going to be doing some early shutdowns for the holidays and so forth. Is that correct that you're already pretty well aware of this? Or are you just really projecting it?
Peter Huntsman: I think that we're projecting it at this point. I have not heard even anecdotally that we're hearing automobile segment customers or anybody else. We'll see normal seasonality in fourth quarter. I think that where you might see more of it is perhaps on the chemical side, not on our customer side but those of us that have to build inventories before the construction season. Or do you think that if the economy is going to be turning in the second quarter, because a lot of people are saying it would be the case in Germany, we better start building inventory to match that demand that's coming down the pipe. Typically, you don't see that with OEMs in the automotive industry and so forth. They're not building big inventories and so forth for seasonality. So when I talk about companies perhaps building too much inventory and diminishing some of that in the fourth quarter in pricing and so forth, I would say that will apply more to the chemical industry than our downstream customers.
Operator: The next question is coming from Josh Spector of UBS.
Joshua Spector: I was wondering if you could talk about kind of how you size the dividend cut? What's the framing that you use to set that? And I guess if I throw out some rough numbers, not trying to get to 2026 guidance or anything. But if we say you get back to $400 million in EBITDA similar to '24, 50% conversion of free cash flow, minus $175 million in CapEx, you're at $25 million in free cash flow. You're still not covering the reduced dividend. So I don't know if the assumption is how much cash you feel comfortable burning until things improve or if you have a different view around what earnings will be 3, 6 months, 1 year from now?
Philip Lister: Yes, Josh, I think the Board had a long discussion about the amount of the dividend cut, 65% from our perspective, gets us to about $60 million of cash requirements for next year for the dividend. That's down by about $115 million of cash, frees that up. The $60 million, I think we're comfortable with that level when you look at how we've been generating free cash flow. We're $105 million on a year-to-date basis. We're closer to $200 million on an LTM basis. And we've been aggressive on working capital, quite frankly, whether that's on accounts payable, whether that's on inventory and we'll continue to do that as we progress through 2026. There's always opportunities to drive better cash flow. So I think that $60 million is a very reasonable level that our company feels that it can cover as you move forward.
Joshua Spector: Okay. I guess as maybe a quick follow-up on the same lines then, though. If EBITDA improves, I guess, like I outlined with that, wouldn't there be an increase in working capital involved in that? Or do you think you can grow earnings and not have to invest in working capital if there's more wood to chop there?
Philip Lister: I think there's always opportunities in working capital, whether that's on the receivables side, quite frankly and also some more on the accounts payable side. We've driven our supply chain financing program this year. We've agreed extended terms with suppliers. That's going to flow through into next year as well. But there's always opportunities on working capital and we'll continue to be aggressive as a company. And I think we've demonstrated that through the first 9 months of this year.
Operator: The next question is coming from Mike Sison of Wells Fargo.
Michael Sison: So for MDI, the fourth quarter polyurethanes, the decline in EBITDA was a little bit more than I thought. But where do you think industry operating rates are going to sort of settle down in the fourth quarter? And then given the cost savings that you're generating for the segment, is there a lower operating rate you can get to, to kind of restore some of the earnings power for this segment?
Peter Huntsman: Well, I -- again, there's not a whole lot of information as to where the industry is running. I would say that the industry -- it looks like it's -- the demand versus production is somewhere probably in the low 80s. And I'd say that's probably across all 3 regions, when I say all 3 regions, the U.S., Europe and China. That doesn't mean that everybody is running at 80%. You've got some that are running full out and somehow the notion that the more we sell, the more we make and others that are trying to calibrate more around demand. And others, I mean, it just vary company by company. So I wouldn't want to represent what competitors are doing when I say that the operating rates are in the low 80s. But I believe that's where we are as an industry. You are going to see improvements in polyurethanes by the cost-saving initiatives. There's no doubt about it. But the singularly best thing that can happen to polyethylene is -- polyurethanes is to get prices up and demand needs to return. We simply are not going to cut our way back to normalized margins in this business without a fundamental change in the market. And that could come from an improvement in the demand structure. It can come from consolidation in the market. There's still small uncompetitive facilities, I believe, that operate in this industry that typically would shut down when market conditions get to this point, which may or may not happen. And so as you look at what it's going to take to turn urethanes back to a more normalized basis, it's going to take more than just cost cutting. But that -- right now, that's what we can control and that's where a large percentage of our time and focus is.
Michael Sison: Got it. And then as a quick follow-up, a lot of companies have suggested they're not banking or even see much improvement in the environment next year. So it looks like you have a plus [ 80 ] or so in cost savings for 2026. Is there anything else that drives EBITDA upside in '26 versus '25 in an environment where demand could remain soft?
Peter Huntsman: Sure. I mean, in our Performance Products, we've got new capacities that we've continued to introduce into the market, on ULTRAPURE cleaning solutions and so forth. We've got more capacity to produce catalysts and amines -- higher-end amines that have come on in this year that will be -- that are -- working right now with customers to be qualified and so forth. We'll see $5 million, $10 million sort of opportunities of improvement there. We have, I think, a very aggressive business turnaround that's taking place, specifically in our home -- our spray foam business, insulation business we'll see benefits from in '26. I would also -- we've also got some wins that we've had this year in contracts in the automotive segments, in Polyurethanes, in Advanced Materials, where we'll see a lot more of the output of those. Those are not cost related. Those are new market applications and so forth. So I would -- and I would just say that in 2026, look, I can't think back in an era when I look back at 2021, all the way through all the up cycles from 1988 all the way through to 2021, the 5 or 6 major up cycles, nobody anticipated or saw the upswing 6, 9, 12 months before it actually happened. What may be the catalyst, what may be the consolidation, what may be the purpose for change. I wouldn't write 2026 off as just being another bland year. There will be opportunities in it. And we might have to be a little more creative than we otherwise would be and looking as to where those opportunities and how they'll be created.
Philip Lister: Just one comment might be, incremental savings next year, we've articulated that at $40 million as we progress through the $100 million savings target.
Operator: The next question is coming from Jeff Zekauskas of JPMorgan.
Jeffrey Zekauskas: In the old days, you used to talk about polymeric MDI and monomeric MDI and MDI that was a little bit more specialized and there being a margin differential between the 2. What's happened to that margin differential between the 2 and why?
Peter Huntsman: I think that when we look at the market 10 years ago, 5, 10 years ago, I think it probably was more of a bifurcated categorization. If something was coming out of a system house, if that was being formulated for a customer and so forth. I think that what we see today is more around, Jeff, a spectrum rather than an either/or. And I think that there still is a value-added component to our polyurethanes business. There's still applications that are very exciting in automotive and home construction and insulation, applications that -- where you'll have in the automotive sector, you have some of our most commoditized products. You also have some of our higher-end materials. And so I would just say that they're -- what we're seeing today, perhaps more so than in the past, is it -- it's not an either/or. It's kind of all of the above. And it's a spectrum rather than just a 2-sided belt.
Jeffrey Zekauskas: Okay. I guess everybody looks at the data a little differently. But I would have thought that China imported into the United States maybe 250,000 tons of MDI and that's pretty much gone to 0. And so -- and you talked about maybe 75,000 tons coming in from Europe and whatever capacity may come on is later. So shouldn't conditions be ripe for the market to be a little bit tighter at the beginning of 2026?
Peter Huntsman: Yes. I would say that if demand were picking up and if those were the factors going into it, Jeff, I definitely would agree with you. The simple fact of the matter is, the people that are bringing on 150,000 tons in 2026, which isn't that far into the future, are out right now marketing that material. They're out with prices and we're seeing posture being taken, efforts to move that extra volume. So as I said earlier, it's not when the volume is produced, it's when you're out 6 to 12 months in advance, trying to move that product. So that there is a home when you finally are able to start up the facility. Yes, the 75,000 tons coming in from Europe right now, I just personally as a -- from -- see as a producer, it doesn't bring anything in from Europe. That's kind of a surprise. I wouldn't have anticipated people doing that but it's happening. And again, I think that we're probably underestimating a little bit how much was exported to Canada and Latin America and how much of that's been picked up by product that otherwise would be coming to the United States. It's just merely going a little bit further north or a little bit further south. So yes, a lot of that is happening. And so I look at where we were kind of in the fourth and first quarter of 100,000 kilotons coming in from China. We're basically down to -- the third quarter was 10 kilotons coming from China. So we're definitely seeing a large drop off but we're also seeing a pickup in other areas.
Operator: The next question is coming from Kevin McCarthy of Vertical Research Partners.
Kevin McCarthy: Peter, if I look at your Performance Products volumes, they've been running down close to double digits in recent quarters. But I think that, that is distorted by your plant closure in Germany. And so I guess my question would be, can you comment on kind of the underlying market demand as you see it for maleic and for amines? And I guess, related to that, if we take into account the new products that you talked about in Performance Products, do you see an opportunity to stabilize or even grow volumes in that business next year?
Peter Huntsman: Yes. I think that we do. Maleic is a very important product for us in the U.S. And you're right, when you talk about the maleic volume, when you look at the net reduction that we saw in sales, maleic -- Moers is about 50% of that reduction that we've seen. So a big chunk of that is Moers and that needs to be factored in. And part of that is also going to be the DGA going into ag. We've seen a little bit weaker ag this year. And we've seen some pretty competitive market conditions in amines all around in industry, in construction and so forth that just isn't growing that much. And so as we look at that going into 2026, again, our maleic anhydride, we're the -- I believe we're the low-cost producer and the largest producer in North America. We've got protective tariffs there of 50% to 60% depending on the whims of a certain President. And so that -- it feels like we've got some good protection there with a very good cost base and a very good manufacturing competitive base. So maleic is going to continue to be a strong market for us in North America and we will be taking excess material to feed our European market. And as we look at that, we'd expect over the next year, that's probably going to be a gradual improvement. Our EAs, ethyleneamines are going to continue to be, I think, flat to positive. And as we look at our -- the rest of our performance amines, that's probably going to be pretty flat.
Philip Lister: And just to reiterate, Kevin, if you take Performance Products, you minus [ 10 ] and you take out the Moers closure, you're relatively flat year-on-year. That's the way to think about it.
Operator: The next question is coming from Hassan Ahmed of Alembic Global Advisors.
Hassan Ahmed: Look, a question around U.S. MDI volumes, specifically for you guys. I mean, of course, 2025 continues to be -- has been and continues to be a pretty sort of weak demand-wise year. But leaving sort of broader macro demand aside, I mean, it certainly was an abnormal year in terms of trade flows out of and into the U.S. for MDI. And you yourself talked about maybe losing some share, being a little more sort of holding on to pricing and the like. Then, of course, back in Q2, you guys talked about how typically sequentially in Q2 there tends to be a 8% to 10% volume uptick in MDI and you guys only saw maybe like 3% or something. I'd like to think maybe that was, one was stuffing the channels. So where I'm going with this question is, let's even assume the macro doesn't change that much in 2026 but trade patterns do normalize, how much of a volume increment in U.S. MDI would you see on the back of that?
Peter Huntsman: That's a good question. A lot is going to depend on customer sentiment and pricing and where we can get the best value for our production. I'd remind you that in the third quarter, we were up 6% year-on-year and in North America, in the U.S. markets and up 4% on the rest, when you look at the entire division. So -- and I wouldn't say that, that was just one particular area. I think that, that was very strategic and surgical within areas where we can achieve the most value for our product. And so I think that we're very much going to have the same posture in 2026. I think we want to be smart with our volumes but we will be aggressive in maintaining our volumes and getting prices through as quickly as possible. Beyond that, Hassan, in 2026, I just -- I'll just get in trouble if I try to forecast the particular performance of the division.
Hassan Ahmed: That makes sense. That makes sense, Peter. And if I could sort of just talk about near-term U.S. pricing as well. Of course, you mentioned incremental capacity coming online in the U.S. market, which will be later in the year. But from the sounds of it, it seems trade normalizing, somewhat normalizing in the early part of next year, antidumping duties, tariffs and the like, I mean, there is at least potential for some pricing tailwinds in the U.S. in MDI. Is that, correct?
Peter Huntsman: Yes. Hassan, I think you're absolutely right. And we're in a little bit of the old joke that when the bear starts to chase us, I just have to outrun you, I don't have to outrun the bear. And so when I look at the polymeric MDI pricing today in the U.S., and again, I'm talking about polymer, this is the bottom end most commoditized. You're seeing about a $200 a ton difference between U.S. and China. And you're seeing another $200 difference between China and Europe. Now that's not on an absolute basis. That's going to be on average basis. But you are seeing some stability, more stability in the U.S. than you're seeing in China and Europe. And so I would just say that, again, I'm not saying I'm happy with where the margins are in the U.S. but pricing in the U.S. is holding up better than the other 2 regions. And when you look at our manufacturing costs, the U.S. and China, about $100 apart a ton from each other, China being lower. So yes, I think there's opportunity. What we need, again, more than anything else is just demand. And I don't think that we'll really start to see that picture until the end of February, early part of March and we start to see the direction, that proverbial construction demand and homebuilding and seasonality, Chinese New Year's will be over by then. And what do we see on a global basis that starts to take place at that time.
Operator: The next question is coming from Salvator Tiano of Bank of America.
Salvator Tiano: We haven't been hearing much about the spray foam business for the past few quarters. So I want to get kind of an update on how are things going there? Is it a business that's EBITDA positive at this point? And when it comes both to that -- to the spray foam business but also insulation demand, have you seen any change from the -- I guess, in the summer when we replaced part of the IRA bill, I think there was one of the key credits that was canceled there has affected the spray foam demand?
Peter Huntsman: Yes. I don't think that we've seen any impact from the credit. We do with our spray foam business. It is a contributor to the business. It is up year-over-year. And we are the U.S. leader and we are -- we do have a share gain that has taken place there. And so as we look at the markets, the markets are down but our business in the third quarter was up 7% from a year ago. And that's a business that you just don't necessarily go out and buy market share. You've got to have the service, you've got to have the quality, you've got to have the reliability, the consistency. And so I think it's a series of factors but we're seeing that business for us continues to gradually improve. And I give the management team there some very high marks.
Salvator Tiano: Great. And as a follow-up, I wanted to ask you now, in your prepared remarks, you mentioned about the need for restructuring, consolidation. And you brought up actually -- I think it was the phrase that you would work with your partners and with other industrial partners and manufacturers. So beyond Huntsman just taking on own actions like closing the Moers site, could you actually -- do you see an opportunity or would you pursue consolidation through M&A for some businesses, for example?
Peter Huntsman: Oh, I'm not sure about through M&A right now. I'm not sure I'd want to stretch the balance sheet on something like that. But I do see -- I mean, if you look at the cost curve on a number of our products, it does vary quite dramatically in various parts of the world. In some cases, we are a market leader. In other cases, frankly, others are market leader. And we've got to be able to work and look at calibrating our volumes and calibrating our supply chains. And that may mean that we're going to be looking to companies in the past that have been a competitor and see if -- where we can work together to try to get around some of the energy issues that are plaguing us in certain parts of the world. But I would just say that, that's a very broad offense that has been ongoing and continues to be ongoing. And I'm not going to get into particulars on divisions or products and so forth and so on. But there is opportunity and it does need to be followed through.
Operator: The next question is coming from David Begleiter of Deutsche Bank.
David Begleiter: Peter, you mentioned that Chinese MDI imports into Europe have been pretty steady. Can you discuss the potential for more robust tariffs and/or duties in Europe? I believe there is an EU investigation into MDI imports into the region. So that would be helpful.
Peter Huntsman: Yes. I don't foresee the Europeans taking any real material action on that. If it's anything like what they've done over the last couple of years, it's not going to happen in my lifetime. But it'd be great to see them do something but I'm not counting on that happening.
David Begleiter: Sorry to hear that but so be it.
Peter Huntsman: So am I.
David Begleiter: MDI, any change in your view of long-term MDI growth rates as we exit this downturn?
Peter Huntsman: Sure. As you know, I think that as we look at the biggest drivers around MDI, it continues to be a product that displaces other materials. When you look at the large volume side of it, it's going to continue to be construction and homebuilding and so forth. That's going to be the principal driver. But by and large, this is going to be a business that is going to grow equal to the rate of GDP plus usually about another 0.5% or about half of GDP in product replacement. So I'd say it's a business I would expect over the cycle to grow at about 1.5x the rate of GDP through -- via economic growth and also product substitution and replacement.
Operator: The next question is coming from Arun Viswanathan of RBC Capital Markets.
Arun Viswanathan: If we look at the second half EBITDA in '25, it looks like the implied kind of midpoint is around $130 million. Maybe if you annualize that, you get to mid-200s. From there, is there a way you can kind of frame maybe the cost reductions, restocking or kind of downtime impact that you're seeing this year and maybe some other building blocks, if anything?
Philip Lister: Yes, Arun. So you're right. If you take the midpoint of our guidance, which is $25 million to $50 million and you take the $94 million and multiply that out. Savings, we've said from our savings program, incremental '26 over '25, about $40 million. And that's a program, as we say, that we're comfortable or confident of achieving those target rates or exceeding them. Inventory hit this year through the first 9 months through getting our inventories down is about $30 million impact on the company. You'll see some more of that impacting the company in the fourth quarter, as Peter has articulated, Performance Products. So theoretically, if you just kept your inventory volumes at the same level next year as this year, then you would obviously get that back year-on-year from a improvement in EBITDA perspective. Against that, we have some -- had some noncash one-offs. We articulated those in Performance Products over the last 2 quarters of about $15 million. Notwithstanding the macro, we've talked about Advanced Materials. There was a question earlier about the improvements that we continue to expect to see in aerospace as well as in power as you move through next year. And then obviously, it's around the macro on construction.
Arun Viswanathan: Great. And then just as a follow-up, is there anything else you need to do on the footprint? I mean, as you noted, we've gone through significant weakness here for a little while. So maybe is there any rationalization that you see that's required at this point? Or is it mainly just kind of waiting for demand to kind of get better?
Peter Huntsman: Well, I mean, we're in the process right now of completing the 7 site closures that we've recently had and some 600 people that we've either let go or moved to lower cost positions such as in what we have operating in Poland or Costa Rica or Malaysia. So I -- we're always going to be looking as to where we can source our materials. And if that can be done cheaper, more reliably, more profitably through another third party or consolidated to another site, we're going to -- we'll be looking at that continuously. All I'd say is, look, if we ever come into the office in the morning and say our work is done, there's nothing else we can do with the company here, we've -- we failed. So we'll continue to look at those things.
Operator: The next question is coming from Matthew Blair of TPH.
Matthew Blair: Great. The commentary on aerospace for both Q3 and Q4 is a little bit better than what we were expecting. I think there was a comment that you have adhesive applications for aircraft interiors as a relative bright spot. So my question is, is your content per plane increasing? Or is this just a function of Huntsman capitalizing on overall rising build rates in the industry?
Peter Huntsman: No. I think that over time, yes, we will be improving our content per plane. We're looking at kind of the traditional structural materials that go into the plane. And we're more focused today, I would say, on the interior adhesions and the interior structures and so forth. So those are areas of growth for us. But just bear in mind, when it comes to aerospace, our contracts are long term in nature. These are qualifications once you're done, they usually go for 10-plus years. And you've got -- these are the longest continuous contracts that we have anywhere in the company. So if we say build rate is going to be x and somebody else says it's going to be y. If it ends up being better than what we say, we will get the business. It's not -- don't -- I mean, look, if we see more production, if we see more deliveries that are taking place, more applications, we will be the benefactors of that. And so it's a great [ end ] of the business and it's one that we hope to continue to see the build rate improve and increase. And we will continue to increase our content on a per plane basis.
Matthew Blair: Sounds good. And then the fourth quarter polyurethanes guidance, does that reflect some benefits from cheaper benzene feedstock costs in the quarter? Or is there a lag that we should be thinking about?
Philip Lister: There's a little bit of benefit, Matthew. I think the average for Q3 on benzene in the U.S. was $276 in the third quarter. It's trading today at about $250. So it's a little bit of benefit. In general, there's a lag as we move it through cost of production on into cost of sales but you've got a little bit of a benefit there.
Operator: The next question is coming from Laurence Alexander of Jefferies.
Laurence Alexander: A couple of structural questions. How are you thinking about the potential impact for North America polyurethane demand from reshoring of appliance production? Have you seen enough announcements for that to be material? And if so, when? And then secondly, when you think about the new 5-year plan in China or at least the first drafts and the focus on shifting the chemical industry downstream, do you see that as a net positive or negative for Huntsman? And then I guess the third one, if I can just ask a third structural question is, given the outlook of probably several more years of volatility and kind of lack of clarity for the Western chemical industry, do you see a return at least on the corporate side of the fashion for conglomerates that we saw in the '60s and '70s, kind of similar turbulent period?
Peter Huntsman: Yes, excellent question. I think on the first one on the appliances, we're not seeing anything material and I don't think we'll see anything in '26 of materiality that will be coming in. Traditionally, those have been pretty low volume -- excuse me, low-margin applications. We have the expertise. We have the knowledge. We have the relationships. If there's money to be made there, we'll be there. But I don't see that much business coming. As far as China going down to the downstream business, look, I think there might be some opportunity for us in some of these areas. We're right now working with a lot of the Chinese producers -- well, I shouldn't say a lot, we're working with some Chinese producers as to how we can source material in China rather than exporting it into China as their quality improves and so forth. But just because you make the product, as we keep saying it again and again, just because you make the product and you even make it at a competitive price doesn't mean that the product is qualified. So if somebody jumps into epoxy today, that doesn't mean that they're necessarily going to be getting Boeing's business or Airbus' business in aerospace next year or even in the next 5 years. So there is an issue around qualification. I would say, too, that as you look at what China describes as downstream, in some cases, that means ethylene going to polyethylene and that's a downstream derivative. I wouldn't read too much of it that it's a big rush into specialty chemicals. Specialty chemicals requires as much of the qualifying and the demand from the customer as it does from the manufacturer. So just because you make it, again, it doesn't mean, necessarily mean that there's a home to it. On the conglomerate front, that's something that we've talked about internally quite a bit just to see as we start to think about companies coming together to be able to look at their cost structure, their supply chains and so forth. It's a possibility that, that might see a resurgence for that and -- but it's yet to -- we're yet to come to any conclusions on that.
Operator: The next question is coming from Frank Mitsch of Fermium Research.
Peter Huntsman: And operator, sorry, we're at the top of the hour. So we'll take this as the last question. And Frank, I wouldn't cut you off even if we were 20 minutes past the top of the hour. So you go right ahead.
Frank Mitsch: Peter, I sincerely appreciate that. I have a 4-part question.
Peter Huntsman: Great. I'll have an 8-part answer.
Frank Mitsch: So listen, I'm looking at the maleic anhydride market in Europe. You shut down Moers, I believe, at the end of the second quarter. So it's been shut down for a while. Prices there are continuing to drift lower. Now one would have thought that you shut down a major facility, prices would stabilize and the market would bounce. What is going on there?
Peter Huntsman: What is going on there is, you have a lot of Chinese material that's coming into the market. Chinese -- China about a decade ago said that they were going to be making this new material. It's some sort of a biodegradable plastic that required maleic as one of the raw materials. I think it was a product called PBAT, P-B-A-T. And they were going to produce billions of pounds of this, so people could get shopping bags, by the time they got home, the bag would disintegrate and the air would clean up and we'd all live in a better earth. So that never really materialized surprisingly. But you have an enormous amount of excess capacity in China for maleic. A lot of that is finding a home in Europe. There's also, I would say, would be third party, might even be from sanctioned countries and so forth. They're finding its way through Russia -- excuse me, through Turkey going into the European market. And so yes, Europe has very porous import controls and very high cost structure. So it's a natural home for -- if you want to dump excess material, send it to Europe. I think, again, when I look at the U.S. market where that is our bread and butter, it's our dominant market. I'm not supposed to use the word dominant. I think it's a very good market for us. And so we have -- we've got 50%, 60% tariff protection there. And we're a low-cost producer. We've got great raw material situations with butane and a great technology and a great management team in the U.S. And so we're going to -- we'll take advantage of Europe when the margins are such. But right now, it's -- you're right, it's a terrible market.
Frank Mitsch: Much appreciated on that -- on the clarifications there. And just lastly, on your Slide 12, you talked about continuing to evaluate noncore assets. I assume that there's nothing imminent on the docket there. But I wanted to give you an opportunity to provide more color on what may happen there.
Peter Huntsman: No, we're -- look, I don't think that there's anything really material that's happening. We continue to evaluate and look at various parts and pieces. And then until we get to a purchase and sale agreement on something, I wouldn't want to comment on it. But right now, we're mostly just looking at things around the edges, I would say.
Operator: Ladies and gentlemen, that brings us to the end of today's question-and-answer session. We would like to thank you for your participation and interest in Huntsman. You may disconnect your lines or log off the webcast at this time and enjoy the rest of your day.